Operator: Good day and welcome to the ProMetic 2014 Fourth Quarter and Year End Highlights and Financial Results Conference Call and Webcast. I would like to introduce Mr. Pierre Laurin, ProMetic’s President and Chief Executive Officer; and Mr. Bruce Pritchard, Chief Financial Officer and Chief Operating Officer; and Dr. John Maron, Chief Medical Officer. For your information, the presentation will be followed by a question-and-answer period. You can ask a question in the language of your choice. [Foreign Language] I will now turn the call over to Mr. Laurin.
Pierre Laurin: Thank you, operator and good morning everyone. We’ll start with the typical Safe Harbor statements. This presentation, as you all know, contains forward-looking statements about ProMetic's objectives, strategies and business that involve risks and uncertainties. I won’t read the entire page, but let’s move to Page 3, or Slide 3, and make sure we cover the agenda. Bruce will lead the call with the review of the year and Q4. I will come back and provide an update on the bioseparation business, our protein plasma platform. John will provide an update on PBI-4050 and we will wrap up with summary of the milestones and the 2015 outlook. So Bruce?
Bruce Pritchard: Okay, thank you, Pierre. Good morning ladies and gentlemen. We can move now to Slide 5 in the slide deck. I will remind everyone that this part of today’s webcast is based on the financial information for the fourth quarters of 2014 and 2013 as well as on the audited financial statements for the year ended 31 December 2014. All of these statements have been prepared under IFRS. The full annual financial information for the Group can, as usual, be found online at sedar.com. And all sums in today’s presentation are in thousands of Canadian dollars except for per share amounts or if otherwise indicated. On Slide 6, I’d like to start my part of this morning’s presentation with a high level overview of the results. This will inform the basis of a more in-depth flip each of these numbers. So revenues for the year were CAD23 million and we’re reporting a net profit of $2.6 million for the financial year. Included in the net profit are the non-cash costs of $15.4 million relating to the ongoing revaluation of the original Thomvest warrant number two with this charge being related to the significant improvement in PLI’s share price between 31 December 2013 and 31 December 2014. In addition as a result of the finalization of our accounting for the NantPro’s step up acquisition, we generated total gains for our shareholders of $49.2 million from that transaction. The results also reflect clearly our stated strategic intent of investing in our pipeline of plasma-derived and small molecule therapeutics whilst being more selective about the licensing transactions entered into issuing used 10 more of the value of that pipeline for our investors. This focus requires us to invest in our resources both human and physical, which is also reflected in these numbers. Importantly during 2014, we strengthened our balance sheet with additional equity and debt financing to the tune of $48.8 million, this financing coupled with the acquisition of NantPro in the year resulted in ascending 2014 with $203.4 million in total assets and a $104.4 million in net equity, a significant improvement over our 2013 balance sheet. This provides us with an opportunity to continue with our exciting projects, which they really expand upon in a strategic outlook way through this morning. We can now move on to Slide 7, I want to deliver two key messages regarding our revenues. Firstly, I want to make the observation that underlying product sales showed in the orange have again risen over the previous year this time by $1.3 million or 13.7%. Secondly, I want to highlight the service revenue $3.7 million lower than in the previous year in line with our current strategic direction of developing more of our products for ourselves rather than for third party customers. And finally licensing and milestone revenues reflect those received from GENERIUM and Hematech announced during the year. If I move now to Slide 8 on reviewing the adjusted EBITDA performance of each business segments. At this point, I thought it’s appropriate to analyze EBITDA as it excludes the non-cash costs associated with the warrant liability and the NantPro transaction and allows us to see an underlying picture of what’s happening in the business. Firstly, looking at protein technologies, the business segment that combines the activities of the bioseparations business and the plasma products, adjusted EBITDA was minus $14.9 million compared to minus $2 million in 2013. And this change is attributable to two main reasons. Firstly, as I described earlier, service revenues are down on the back of the decision to develop more products for ourselves rather than for third party customers. And secondly, as a consequence of this, we’ve been investing more of our resources in R&D expenditure for plasma products, notably investing and preparing and executing on the clinical programs. Next, looking at therapeutics business segment and that’s the part of our business – on small molecule drug development such as PBI-4050. Investors will recall that we’ve been advancing the company through the clinical program for multiple indications and have therefore increased our R&D spend in this area. And lastly looking at the corporate segment that contains all of our administration and compliance activity, there have been an increasing cost associated with our expanding headcount; stock based compensation costs, which is self aligned through right in the share price and additional professional fees. So in summary, looking at the underlying business, the results and costs are entirely in line with the strategic direction as previously outlined. Transitioning to Slide 9, there are some of the key figures from the profit and loss account for the fourth quarter and full-year. Revenues for the quarter were $10.5 million, compared to $5.1 million for the fourth quarter of 2013. The year-to-date revenues of $23 million, compared to $20.6 million for 2013. As I mentioned earlier, products sales were up $1.3 million or 13.7% for the year and service revenues crossed $3.7 million lower, licensing revenues were up $4.8 million in 2013 reflecting revenues from both GENERIUM and Hematech. The increase in product sales impact some cost of goods which themselves amounted to $7 million for the year compared to $6.7 million in the previous year. The other thing that’s impacted cost of goods is the mix of products sold during 2014, which this year is slightly more towards higher margin products than in the previous year. Total research and development costs have significantly increased over the same period of 2013. However as I mentioned in previous slides, there has been a rapid development of the pipeline of both plasma-derived and small molecule therapeutics was coupled through the internalizing of the NantPro costs have slightly increased in the expense. So with that context and given my explanations when we discuss the EBITDA by segment. Total research and development costs were $11.8 million in the quarter compared to $6.4 million in the same quarter of the previous year, bringing total R&D costs to $35.2 million for the full year compared to $18.6 million for full year 2013. Administration costs rose in the fourth quarter primarily as a result of the stock based compensation costs, as mentioned earlier, making admin cost in the fourth quarter of 2014 $5 million compared to $3.7 million in the same quarter of 2013. The 2013 gain on recognition of loan receivable relates to the sums due to the end of December 2013 from Invhealth which clearly were not repeated in 2014. Finance cost is slightly higher year-on-year consistent with the level of financing activity that we undertook during 2014. The fair value adjustment on warrants was described earlier and that impacted Q4 to the tune of $2.9 million bringing the total charge for the year to $15.4 million. And finally in 2014 as a result of the step up acquisition of NantPro, we recorded the gain on that transaction. The gain is recorded in two lanes on the profit and loss account and I do not attempt to go into the detail of the accounting today other than to say that in Q2, we make a preliminary estimate of the valuation and purchase price allocation, which we finalized in the fourth quarter. The results for the fourth quarter, therefore, reflect the increase in the computed value between the interim and final valuations, obvious to say that the transaction resulted in a total gain of $49.2 million in 2014. The notes to the financial statements on the MD&A include detailed descriptions of the cancer treatment for this transaction for those who are interested. The year-to-date adjusted EBITDA, as I mentioned on the last slide, shows a loss of $24.8 million, versus a loss of $8.9 million in the previous year, but overall the group returned a net profit of $8.5 million or $0.01 per share in the fourth quarter, compared to the loss of $7.5 million or $0.01 per share in the same quarter of 2013, bringing the full year profit for 2014 to $2.6 million or $0.01 per share, compared to a loss of $17.4 million or $0.03 a share in 2013. Moving to number 10 and the key features of the balance sheet at the end of the year. Cash stood at $27.1 million, compared to $17.4 million at the end of the previous year. Accounts receivable $11.8 million, compared to $14.2 million in December 2013 figure, trade receivables remain unchanged $8.5 million, tax credits receivable $2 million since year-end and the main reason for the fall in accounts receivable year-over-year was lowest during 2014 relating to loan repayable by Invhealth. Capital assets have risen by $4 million since December 2013, representing mainly on the manufacturing plants in both Laval and on the Isle of Man. And perhaps the biggest change of the intangible assets, which have increased from $4.6 million to $146 million in December 2014. This change is attributable to the $1 million of intangibles relating to step-up acquisition of NantPro in the year. Trade and other payables are up slightly at $9.1 million was reflected [indiscernible] 2014. The warrant liability at $24.7 million and relates the increase in the share price in the [indiscernible] and I remember everyone again this is a non-cash item. Moving on to long-term debt from Thomvest shown here at $23.2 million will also likely be expected – and I’ll come on to discuss the recent modification of the Thomvest back in a few moments. Long-term debt provided by shareholders was fully be paid in the year leaving the balance of 2014 as zero. And lastly, we’ve added a deferred tax liability on the balance sheet of $37.1 million, which relates to the recognition of the NantPro intangible and the timing differences between the book value and the value for tax purposes that some will begin to reduce over time as we begin to amortize that intangible. So these results overall bring total equity to $104.4 million, up from $18.6 million last year and the total assets figure to a healthy $203.4 million from $49.8 million at December of 2013. On Slide 13, just quickly reviewing the cash position in light of the activities that I’ve just outlined, we have had $44 million of net inflow from investing activities in the year. Of this $26 million was used in operations and an addition of further $8.8 million was used in investing activities relating to capital assets with $100,000 – foreign exchange gains. These movements when combined with the opening cash balance of $17.4 million resulted in the closing cash position of $27.1million, year-end. So wrapping up on the financials, the results for the year clearly continues to demonstrate that the investment in the company is building on future value for our shareholders. In the step-up acquisition, the NantPro has been positive from both the profitability perspective and also for contributing to the strengthening of our balance sheet allowing us to continue our focus on advancing our products through the pipeline. On Slide 12, the last slide on the financial side, so I just want to take a few moments to talk about the modification of the Thomvest loan. ProMetic and Structured Alpha have entered into an Amended and Restated Loan Agreements on March 31, 2015 in respect of the two loan agreements dated September 2013 and July 2014 between ProMetic and Thomvest. These amended loan agreements provide for several amendments in favor of ProMetic, which amongst others include the extension of the maturity date of the Loan Agreements to the 31st of July 2022 without any increase in the total amount repayable. A right of repayment of the Loan Agreements commencing on September 13, 2018 has been added and more flexibility in the affirmative and negative covenants has been built into the agreements. All of these make the loan agreements more aligned with the current business plans of ProMetic. In consideration for these modifications, ProMetic granted Structured Alpha 7 million warrants to purchase ProMetic’s common shares at an exercise price equal to the greater of $3 per common share and the volume weighted average trading price of the common shares on the TSX for the five trading day-period following the date of release of the annual financial statements. The warrants have an expiry date of 31st of July 2022. ProMetic also granted Structured Alpha a preemptive right to participate in any future public offering or private placement of ProMetic’s common shares or securities convertible or exchangeable into common shares of ProMetic. And finally 2014 post balance sheet events, we’ve also amended the terms of the advance on revenues under a supply agreement with Octapharma, extending the maturity date on that instrument to the 30th of April 2018. This instrument will reclassify in the first quarter of 2015 and with an element referring to long-term payables. So, Pierre, that’s it from me, I’ll hand back to you now for the strategic outlook.
Pierre Laurin: Well, thank you very much Bruce. And let’s move on to Slide 14 and actually before we provide abate on both drug development platforms at ProMetic, let me summarize on Slide 16 that the bioseparation business is in the poise for growth again this year. We have announced earlier in the year an $11 million purchase order from an existing licensees and this bodes well for the bioseparation business, which as expected to reach approximately $20 million this year. The demand and revenue growth really is expected to be driven by plasma-derived therapeutics actually and then we have a combination of affinity resins remove prions as well as proprietary resins remove specific impurities and both applications of those affinity resins are meant to improve the safety profile of the products of our licensees. And of course recovery of therapeutics from Cohn fractions and ultimately PPPS platform, which obviously creates a full stretch fully, integrated PPPS plans that consume several types of affinity resin and itself. All of these applications alongside with our application in the recombinant field continue to increase that business, but more so significantly in this year and the year to come. Let’s crossover again to our pipeline of drug coming from two proprietary platforms and on Slide 16, I’ll remind everyone, again that we have a pipeline of biopharmaceuticals that’s generated from our proven bioseparation and PPPS platform as well as the other platform being orally active pharmaceuticals. And today, we’ll again talk more about the lead drug candidate PBI-4050 targeting fibrosis. But on Slide 17, we’re asked very often some questions about what’s involved in the product development platform, what to expect this year and in the year to come. So let me take some time here to explain Slide 17 that clearly shows on the left side as you know this is the illustration that you’re familiar with on our backbone capture steps, sequential affinity step that capture the protein. And the blue box on the top left, bulk API, or active pharmaceutical ingredient, at process development. I mean this is the process to isolate and purify a specific protein extracted from plasma. And this is an operation that is developed by ProMetic’s scientists in Cambridge or Rockville and is then tech transferred to our facility in Laval for further optimization, scale up and then production under GMP condition. From that point on that bulk active ingredient can be sold as GMP bulk actives to pharmaceutical companies that will use that material as part of – as an excipient in part formulation of their own biopharmaceutical or can continue its course towards clinical program. This point in time, the finishing touch for this developing process before we can get into patient involve formulation, finish dosage form, self stability program all of which becomes part of the IND submission that is meant to enable us to move in the clinical program. So actually using those major key steps taking each protein from the backbone through the tech transfer and the GMP manufacturing to scale up the finish dosage form towards the clinical and/or the availability of the GMP product to pharma is repeated on Slide 18, but this time to generate what one could call our – the emergence of our rich pipeline of products coming from that platform. So you’re well familiar about plasminogen, our first orphan drug that has gone through all these process of bulk active process development finish dosage form, the tech transfer in Laval and this was announced throughout the year and we entered into our clinical program and the same applied for IVIG. So in green you have the code exemplifying each protein indented intended to get into the clinical program as opposed to the one in gold, which is a protein intended to be sold as a bulk active ingredient therefore not requiring the clinical program. So IVIG is just entering clinical program. And we have as I expand other projects related to that capture step of IgG that I’ll cover in the next slide. Fibrinogen as you know is now from a point of supplying GMP material throughout our company has reached commercial status and – but we’re looking at three drug candidates here: Fibrinogen, Alpha-1 Antitrypsin and a orphan drug to be named very soon, all going though the same development process and getting ready for entering into clinical program, late this year, early next year, so a very busy year for the PPPS platform. And in fact Slide 19 summarize very well the status of each product and the next milestone to be expected in 2015. Plasminogen is – the infusion in patients has started. We have a very good tolerance to date, no adverse events to report. We’ve already identified 18 patients to get into the different cohorts that are scheduled for the clinical program. What do we expect to deliver this year is definitely a confirmation of the safety and the pharmacokinetic profile of the product, but we also anticipate announcing new indications and some new intellectual property and new deals around that exciting program. So a lot to watch on that space, this is an extending program for ProMetic, where it’s first product in human from PPPS cascade. IVIG, the IND has been trialed, the sites already recruited throughout the U.S., we expect to have 100% enrollment of adult in primary immunodeficiency patients completed this year and also around that specific protein, we’re expect to announce a deal for new indication as well as accessing intellectual property. Fibrinogen, we’ve announced before that we have scaled that product – that protein up and we’re looking to enter into agreement and to be announced this year, a new agreements for new indications as well as prepared a Fibrinogen for clinical phase I, III as we’ve identified clinical reg pathway and that will further expand during the year, but a promising opportunity again for our share holder. Alpha-1 Antitrypsin, orphan drug number two, and orphan drug number three all to be announced this year going through the process, product development that I just explained before, all schedule to be scaled up and getting ready for clinical phase I, III and/or clinical program respectively throughout the year. So a very busy program, feeding the pipeline of ProMetic with late stage clinical drug candidate, very exciting year. I’ll move to Slide 20 and hand the baton to John, who will provide an update on the actual clinical results to date. John?
John Maron: Thank you, Pierre. I’m very happy to have this opportunity to bring an up to date with our clinical results and also with some very exciting animal results that we have received from Vanderbilt University. So on Slide 21, we have done the conventional Phase I, randomized, double-blind, placebo-controlled study in normal volunteers to look at the safety, tolerability, and pharmacokinetics of single ascending doses. So we did six cohorts of eight healthy volunteers, six patients – six subjects in each cohort with – on the active agents and two on placebo just to see whether any adverse effects claimed were actually due to the active drug or to the placebo. We had six cohorts as I said single ascending dose 400, 800, 1200, 1800 and 2400 milligrams and in one cohort we did fed and fasting, so that we could see if there is a food effect on the drug absorptions. So the outcomes, PBI-4050 was very safe and really well tolerated up to dose of 2400 milligrams. So there were no significant adverse events and certainly no dose related adverse events. The comparison as I mentioned on the last bullet point between the therapeutic dose and the pharmacokinetic profile in animal models and the profile we observe in humans suggests that the effective oral dose in the human situation should range between 200 milligrams and 800 milligrams once daily. So we have a very interesting drug, it’s effective orally. It doesn’t seem to have significant adverse events so far and it can be given once daily. Slide 22, we’re moving on to what we call a Phase 1b study where we’re giving the same agent and similar dose to patients with advanced kidney disease. The question we’re asking here is does the pharmacokinetic profile or the absorption et cetera change in patients with renal impairments. So again, we have eight subjects, six active and two on placebo again is double-blind, so we don’t know which one is which and [indiscernible] study so it says stage 3b or 4 diabetic nephropathy with an estimated glomerular filtration made of 15 to 45 MLs per minute. That is quite severe kidney impairment and its in the pre-dialysis stage. So we are interested to see whether the PK, the pharmacokinetics change in these patients. So we first gave these people a single 800 milligram oral dose to look at the PK and to make sure there were no events, slate events in this group with renal failure. After washout period, we then gave the same patients the same dose every day for 10 days to look again those profile change is very accumulation of the drug and the outcomes listed on this slide, no serious adverse events. The pharmacokinetics in the subjects was – was renal impairment was very similar in deed to the kinetics in patients with healthy – I am sorry in healthy volunteers and importantly also the protein binding in the blood was very similar in the patients with renal impairment. That’s very important news for us because that means we don’t have to change the dose in patients who have renal impairment that makes the administration of the drug a lot simpler. Now moving on to Slide 23, we’re going back to animal work and this slide shows very good news for mice, who have severe diabetes and severe hypertension. You can see this as a survival curve. The mice in this model have Type II diabetes with severe hypertension as well. And as you can see in the controlled group in black, the mice all dead by 26 weeks of age, whereas the treated group in red with PBI-4050 a very, very good survival up to 30 weeks, a very, very striking difference in survival. Why does that occur, there are number of reasons. Slide 24 shows you the liver of the mice in the study. On the left, it’s the controlled group, you can see in the circles, those clear areas in the liver that’s accumulation of fat, steatosis – hepatic steatosis and that’s another typical finding in human patients with type 2 diabetes. You can see on the right, the PBI-4050 that is a perfectly normal looking liver, no steatosis at all. Slide 25, why do we improve survival, why we have got this incredible difference and this slide tells you the answer. PBI-4050 does not affect the high blood pressure in these animals, but I’ll show you that it does improve the diabetes. In the vehicle on the left, labeled A, you can see the dark spots in the two left hand squares, macrophages, in other words inflammatory cells that are infiltrating the pancreas and destroying the insulin reduction by the pancreas. Conversely, you can see the squares next to it was PBI-4050, a very few macrophages, essentially a normal number of macrophages and in the graph below that that just quantities those pictures for you. You see it’s a very striking difference. We’re reducing inflammatory cell infiltration into the pancreas. And then the next one is the same sort of thing showing two or three cells CD8. We are keeping those out of the pancreas too and therefore allowing the pancreas to keep on producing insulin. Slide 26, how we’re going to translate those animal findings into our clinical development program. First of all we have two CTAs cleared by Health Canada, so one on the top is for an open-label study, single site; it will be type 2 diabetes with metabolic syndrome in other words typical type 2 diabetes, initially will have 12 patients, we plan to expand it up to 36 patients if we see no significant safety issues after 12 weeks. You can see the timeline there. We expect to have results available in the second half of 2015 from this study and we expect to enroll patients in this study this month. The next CTA cleared is a little bit further down surprise because this is going to be a multi site study of up to 40 patients, multiple centers across Canada and some in the U.S., open-label idiopathic pulmonary fibrosis. We have very, very encouraging results in the animal model, standard animal model for idiopathic pulmonary fibrosis and so this is an obvious next therapeutic area for us to go into. Slide 27, we have a mysterious orphan disease in Europe, which we’re filing a CTA in Europe this half – before the end of Q2. We believe knowing the pathophysiology of this syndrome, fibrosis and severe diabetes. We believe that that it’s a very good chance at PBI-4050 can help these patients. And then on the bottom half of Slide 27, we’re now getting into double-blind studies. This will be an advanced stage kidney disease associated with type 2 diabetes and there will be multi-center across Canada and the U.S. It will be double-blind and we will be looking at two different doses of PBI-4050 as well a placebo group. Again, we wanted to be very careful in making sure that we establish the correct dose before we move on to Phase 3 studies. So with that very exciting news, I’ll hand it back to Pierre.
Pierre Laurin: Well, thank you John. Maybe as a summary before we move to question-and-answer period, on Slide 28, therefore just to summarize on what John just covered. The milestone related to PBI-4050 in this year include the CTA filing and clearance thereof and the IND as well for the CKD trial across Canada and the U.S. as well as the CTA filing for the phase 2 in the subgroup patients with metabolic syndrome and fibrosis. We also expect to announce interim report on clinical results on both open label studies in second half of this year with likely results from [indiscernible] trial for the type 2 diabetes and metabolic syndrome in that patient. So exciting year for PBI-4050, which is advancing in the program swiftly again with no reflects with regard to safety, which is always very important. Switching to Slide 29, pack year as well for PPPS related activity, expect this year again plasminogen to have confirmation of safety and – of IV infusion in patients for the hypoplasminogenemia and define pharmacokinetic profile. This is going to be a very critical milestone for this program. For IVIG, again, confirm safety of the IV infusion and complete enrollment of all patients required for the cohorts in the adult cohort for the primary immunodeficiency. On the manufacturing and regulatory, as I explained before, we’re looking to scale up two additional – three additional proteins then prepared a filing of three INDs following in late Q4 and beginning of Q1 2016 expecting as well some orphan drug designations and the mix. And partnering deals throughout the year as we expressed before combination of accessing markets, core competencies and provide financial contribution, but also an equal important access capacity, access additional intellectual property to create proprietary PPPS derived drugs and to supply bulk active to licensees. So very exciting year ahead of us and we look forward to update you throughout the year to webcast and that conferences, but with regard to this call let’s pass on to the operator for the question period.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Alan Ridgeway from Scotiabank. Your line is open.
Alan Ridgeway: Hi, good morning guys. Thanks for taking the questions. Pierre or maybe Bruce, can we start with maybe some of the new amendments to the Thomvest debt. I just want to understand a little better what – what was – like the reasoning behind this decision on your latest part, it sounds like you needed to loosen some of the covenants. Can you maybe talk a little bit about that? And as far as extending the date, what was the need to extend the date if the warrants cover off the repayments anyways?
Pierre Laurin: I am Pierre. I’ll start and maybe Bruce can get into more technical aspect. But clear to say Alan, we contracted those debts in a very different time of the corporate life of ProMetic. ProMetic has grown tremendously as it’s taken more development activities in house and it was becoming clear that Thomvest as a lender and looking to protect its position as a lender become increasingly aware that the value for them is in the papers and the equity. So, we look very hard as to how we look company and progress, what kind of loosening covenants that need not to operate and move at warp speed and align much more the interest and the covenants of the loan agreement along with the shareholder objectives. So it’s having access to capital – free capital is not and then significant objectives especially when we look at the ramp up in operation that we’re going to undertake over the coming years, synchronizing all this with the expiry of the warrant such that the repayment of the loan coincide with the warrant. All this was a complete realignment of the paper work to make sure that the working capital stays as long as possible. Although having the possibility to repay sooner as well if the picture of the company further improve to a point where it makes more senses to take the debt out of the balance sheet. So, all in all, a much more flexible arrangement with Thomvest, which align much more Thomvest along with shareholders. I mean, Bruce, do you want to add anything to this?
Bruce Pritchard: I think not much to add other than just kind of reminders that the – that these are original discount that notes and the face value, the repayable amount that’s not increased along with the extension of the – there is no further interest other than the payments being made in the form of the warrants here.
Alan Ridgeway: Well, and I think that’s exactly kind of my point. The warrants were in place to cover after off the repayment yet. You guys have extended the date and provided $7 million additional warrants. So I just – I’m trying to get my head around that. Maybe we can move on. On the resin sales, they continue to be a little bit weaker than I think some people were expecting however you guys have guided to $20 million in sales for next year. Can you maybe talk about how as these new resins come into the flow in the product sales, how this should effect gross margins going forward which continue to be quite low? And I’ll leave at that and jump back in the queue. Thanks.
Pierre Laurin: Bruce, do you want to first kick it again on this one?
Bruce Pritchard: I mean in terms of the – in terms of that kind of the growth plan for resin sales and the kind of the ability, I mean we clearly at the mercy of our clients and we have been for sometime where we’re no at the point where more and more of our clients are coming over the regulatory process and into commercial sales of their products and at least begin to normalize our ability to – the forecast begins to normalize. I think the other thing that’s going to add to a more certainty around the resin sales business is the visibility that we’re going to see from our partners in the PPPS process where we will be supplying our affinity technology into those guys as they begin to scale up their – their operations instead of volumes that we’re expected to see. Again that will add consistently to the top line in a more kind of regular and robust fashion. So I think – it’s probably going to be realistically another couple of years before we see a smoothing of those revenues, but as we’ve – as we’ve given the guidance before we expect them to grow and all be in a slightly multi fraction for the next 18, 24 months.
Alan Ridgeway: And Bruce, so I guess just how does that impacts than gross margins going forward from here?
Bruce Pritchard: Well, again, I mean the margins as you know, Alan, the way from product to product, but as we – as we begin to see a greater mix of those products, we should begin to stabilize and it should begin to gradually increase a bit. So, we’ve got several clients, who place orders on a sporadic basis at the moment for resins, which are presumably high gross margins. Once we start getting into regular orders with them we will help the average margin shift and that portion become more stable.
Alan Ridgeway: Okay, thanks guys. I’ll get back in the queue.
Pierre Laurin: Thank you, Alan.
Operator: Your next question comes from the line of Neil Maruoka from Canaccord Genuity. Your line is open.
Neil Maruoka: Hi, good morning guys. Thanks for taking the question. Firstly just on the quarter, you had guided to $15 million to $20 million in revenue for the second half of the year, the product sales were in line with our expectations, but the milestone and licensing revenue seems to come up a little bit short. Where the shortfall due to milestone payment and if so what was that related to and do you – when do you expect to receive that payment?
Pierre Laurin: Well, yes, it has to do with – exactly that revenue recognition affecting the timing of recognizing such revenue. So – expect them in H1 and that’s the only slight variation that we saw for the quarter.
Neil Maruoka: Okay. And just another question – just follow-on on Alan’s question regarding the $20 million in revenue from the bioseparation business that you expect next year. Is that just from product sales or are you including service revenue in there too?
Pierre Laurin: This is mostly product sale.
Neil Maruoka: Okay, okay.
Pierre Laurin: I mean there is always a mix, but product sales at this time around is making the bulk of that number.
Neil Maruoka: Okay. And just on fibrinogen, I can tell the pretty important announcement that you’ve scaled that up and – in your manufacturing as it seems the validation of your process. Can you provide a little more color on what size of batches you’re able to do and how many proteins you’re pulling out when you’re running a manufacturing that?
Pierre Laurin: Well that’s an interesting question, Neil. And as you see – the backbone involve several proteins, not all of which are at the same stage of development, but now, when you’re looking at say put yourself the same time this year or even by the end of the year, you end up having seven, eight proteins of the backbone all scaled-up and that that enable the company to manufacture all of them at the same time, at the same scale and it increase tremendously the efficiency of everything. Fibrinogen, we have multiple interactions with various parties. We started selling small quantities, but then the whole point of selling or making those products available for third-parties who evaluate our material and to start factoring possible integration in their own products. So, we should expect some movement this year as a result of our scale-up and activity of last year.
Neil Maruoka: So what’s the stability of fibrinogen and do you expect that that sales could ramp pretty significantly if you win and if you identify a partner?
Pierre Laurin: Well, it’s actually not just going to be one partner in this particular case. We’re talking multiple users which is a good news, I mean this is an output therefore and revenue stream at the much higher margins and the resin which, back to the previous question, overall when those – biopharmaceutical products what are sold [indiscernible] and or sold as a therapeutics. They will contribute to significantly improve further the margin. So we’re looking here in the case of fibrinogen at multiple clients, some as usual maybe bigger than others and looking to also and to – to an agreement for fibrinogen to move as a therapeutic for IV treatment of hypofibrinogenemia. So that’s the same process that we’ve entered with the plasminogen although at this time, there are some companies that have undertaken similar development, so we wouldn’t be the first one on the market, would be second or third entry of just like Alpha-1 Antitrypsin but nevertheless valuable opportunity. So a dual-type of source revenue for fibrinogen to be expected over the years, one so sales as excipient to the third party which definitely require new regulatory requirements and the further developing from outside. And we’re looking right now at a potential deal to accelerate and funds the development of – the clinical development of fibrinogen.
Neil Maruoka: And then I know over my allotment here, but – just, when do you expect that sales of fibrinogen as excipient could begin?
Pierre Laurin: I would say – our target is we’re standby on shipping those things, but I think that in a more meaningful way in the second half of this year.
Neil Maruoka: Okay, great. Thank you.
Pierre Laurin: Thank you
Operator: Your next question comes from the line of Derren Nathan from Hybridan. Your line is open.
Derren Nathan: Hello guys. I’m just looking at Slide 27 on the PBI-4050 development and question on both of those boxes on CKD and you mentioned that this is the primary objective of this study will be to optimize dosage, so what extent is it going to be used to proof-of-concepts and efficacy in this indication. And then on the orphan indication given that it’s as orphan designation in Europe if that is successful how could do you think it could be approved in Europe?
Pierre Laurin: Well, I’ll start and John maybe steps in here. Obviously, the orphan label study for and the study that we intend to do in Europe could create an interesting situation Darren as you know there is a probably access from opportunity especially in UK where the Phase 2 compound with proven safety and proof-of-concept efficacy in very specific orphan disease. So this is something that could become quite an exciting avenue for both the patients and our shareholders will share about that but certainly we’re always interested to find ways to have an ultimate validation and disease state in type of patients that can not only serve the purpose of aggressing on that medical need plus for that indication but also become a very, very valid platform to prove the point of the powerful NTE fibrotic activity of PBI-4050 can therefore from that human experience translate to other patients. In the case of that CKD/DKD this is going to be a much longer term exposure and we had inputs from the FDA in our pre-IND meeting very supportive of the study so we would now synchronizing both the FDA and Health Canada’s input so that design of that trial and getting input as well from the various principle investigators that John has been able to valid in the States and in Canada. And this is a John mentioned probably I don’t know if you cover the notion of adoptive design John in this approach but certainly we will provide more detail as we file the IND in the CTA before for this trial. This will take a little longer to execute in the open label. The open label therefore provide more of the earlier window for proof-of-concept activity, the chronic kidney disease could be designed such study it could actually roll into Phase 2/3 trial. So that’s – that will be further be detailed as we progress with the program.
Derren Nathan: Thank you, very much Pierre. And just one more question from me – on the restructuring of Thomvest and Octapharma. Can you quantify, how much and in what period that actually it is your working capital requirement?
Pierre Laurin: Well, Octapharma…
Bruce Pritchard: What we do…
Pierre Laurin: No, go ahead Bruce, go ahead Bruce.
Bruce Pritchard: What I was going to – what I was going to explain is Octapharma essentially there and is arranged with the set up to match their – orders for product and would be repaid of deliveries to them and effectively the instrument is mentioning reschedules to match those orders. So by 2018, that should be take down completely out of the orders that we expect to pass through to us. This is the fraction of the value - those orders that goes to also paying the facility and in terms of the Thomvest, as Pierre when he mentioned this is really – I’m thinking that the pressure of the – it’s going to be for 2018 period if you recall these instruments for originally five year instruments require repayments in 2018, 2019, but the original warrants were actually and scheduled to or had a life running up to – some time during late 2021. There was – therefore our potential gap between 2018, 2019 period and 2020, 2021 where we would expose to the cash – the cash burn. So that’s why I finished everything out to 2022 and by their numbers we will have products on the market.
Derren Nathan: That makes sense. Thank you very much.
Operator: Your next question comes from the line of Doug Cooper from Beacon Securities. Your line is open.
Doug Cooper: Hi, good morning, gentlemen. I just want to talk on the PPPS side, first I can – so you got one product that’s receive the IND from the FDA plasminogen really where I stand at IVIG and particularly upper one you’ve got – you have anticipate receiving the approval back to the IND for those?
Pierre Laurin: Well, I think that – you have to watch that space for IVIG we’re expect momentarily, I think the IV was filed and this is a – a pivotal study. So we’ve answered some question to FDA, so we’re anticipating an update on this – in the coming days, weeks and as far as the – if you look at the Slide 18, that outlined and the pipeline, where we have to do Doug, as you know when we end up anchoring all the process for multiple protein, you can’t go back and make changes any more. So we took a bit of step back on the Alpha-1 Antitrypsin to make sure that we have absolutely captured some key other valuable orphan drug potential around the alpha1 step, which we are very happy that the team has achieved I mean these are not disclosed yet. And when that will be disclosed and I will need perfect sense to everyone to say, oh, my god, this is even more than we thought. So Alpha-1 Antitrypsin remained a key project to file the IND by the end of the year. And fibrinogen almost at the same time or few weeks just beyond and the orphan drug that we have also already advanced significantly in-house. So all of those will be like following each other by almost a month or two starting in Q4 and crossing over to Q1.
Doug Cooper: We just look forward to say two, three years from now and presumably these will start being in commercial production on – I guess on a [indiscernible] that would well. What do you think when all these things are improved, what do you think the aggregate revenue per liter of plasma is for the however many proteins you think you’re ultimately going to have commercialized?
Pierre Laurin: Well, I mean, Doug, we had a slide probably say it’s on that slide deck we did represent that with five or six proteins, we would average note of $2000 per liter output, okay. So and this is not counting all the orphan drug that we have wind up to advance. So it’s a substantially higher than the typical industry average. Five or two of a yield advantage on some of the more established therapeutic such as IVIG or Alpha-1 Antitrypsin. But the additional value contributed by some product that our colleagues in the industry have not been able to manufacture to-date and therefore the mix of those provide them a guide by 2018 roughly and annual – an average revenue per liter of note of $2000.
Doug Cooper: Okay and just then how its leads in the capacity between the Hematech Russia in Laval. How much more capacity do you think you will need or have by the time you think start to commercialize?
Pierre Laurin: Well that is a good question. I mean our capacity is likely to be driven for the large volume protein. We will be gauging our future capacity on the life of plasminogen and other orphan drugs. And therefore, we are aiming to be at about 800,000 liters by 2018, 2019, so here on the math 800,000 liters trying to be average selling price output per liter that’s pretty substantial top line in huge margin.
Doug Cooper: Yeah. And then finally just on the thoughts you had mentioned, you have your next milestones for 2015, new indications IPs to any – into what that could be a one we might hear about them?
Pierre Laurin: No, I mean, suffice to say we wanted to point, and attract the attention on that plasminogen order, the first one in there would be an IV infusion proving it safety of our plasminogen in patients and the PK profile is very useful and as much as the Type 1 orphan drug indication as defined regulatory pathway for us. We have been looking at other indications and we look forward to be announcing this hopefully by the AGM and we’ll be able to fully expose the program at that point pretty exciting opportunity for ProMetic.
Doug Cooper: Okay. And finally just on R&D non-rechargeable what do you anticipate that to be in 2015?
Pierre Laurin: Bruce?
Bruce Pritchard: Well. I mean, the significant number is going to be tracking out clearly Doug, it is probably going to be in the $50 million range may be a little higher depends really on the pace of which clinical trials progress, the cost of clinical trials are obviously budgeted both way in the rate of which we spend depends on rate of recruitment and so on into the trials, but it’s something would see that spend increase next year.
Doug Cooper: Okay. So in the combination between the cash you have in potential partnership deals you think you will be able to fund that spend?
Bruce Pritchard: Well, that’s the plan right now. We were working out of these partnerships.
Doug Cooper: Okay. Perfect. Thanks, gentlemen.
Pierre Laurin: Thank you, Doug.
Operator: Your next question comes from the line of Jim Belin from Aldebaran Asset. Your line is open.
Jim Belin: Hi, good morning. Thank you for taking my question. My question concerns the proxy that you filed, there is a provision in there, you're seeking a vote on a share consolidation one for two, one for five and I know that this is seeking permission, and it is not something that necessarily would be done, but my question is why? In my 25 years of experience, I’ve rarely seen an occasion where you had a consolidation later lead to a increase in share price and most to often what happens is the share price falls and my thought process is, if you announce one big deal or still continued to keep progress on PBI-4050 why would we even need to entertain the idea of a share consolidation. Thank you.
Pierre Laurin: Well lets – you know having these – I almost hear myself speaking here and I hope that everyone gets the sense of why we applied for that request. It is entirely conceivable that as we progress as a company we already meet all the requirements still this on the back. And share price is a bit of a noise of its own. I believe that from the advice we received from advisors and bankers there’s an optimal sweet spot, when you are considering an IPO on that bank. And that sweet spot could be in the range of $12 to $15. And even if the company progress very well, you know we could look at and the share price increase, we could look at an optimal, optic of doing a reverse split. This is not something you do for fun, but it would be really to make sure that we maximize access to accounts that otherwise cannot buy into the story, because the share price does not reach a certain level. And the soft spot that we are asked by advisors is around US$10 to US$15. So we want to put all our chances on our side for a successful listing. And you are absolutely correct. We may end up doing partnership, we may end up announcing milestone such the company on it’s own, get to that point and that certainly Plan A. And our objective really this year is to focus on execution but keep the company on constant and state of readiness, for the possible dual listing. And so that’s an initiative that we have set for ourselves for the benefit of our shareholders. And for us assure that should we use that. I’m sure the shareholder agrees to this and should we use this consolidation. And it would be one that has done in a state of momentum. The only consolidation that works or I’ve ever to seen to work is in the context of a strong momentum. So you’re absolutely right, usually people do consolidation at that use to stay listed and things like that and these failed miserably. And that’s not the intense here.
Jim Belin: Thank you, very much.
Pierre Laurin: Yes.
Operator: Your next question comes from the line of Sanjay Jha from Panmure Gordon. Your line is open.
Sanjay Jha: Good afternoon from London. Just a couple of questions if I may, you’ve said you scale-up three new proteins from PPS this year. How do you design this? I mean this sort of something you’ve known can do, is it sort of, what’s the process and what’s the costs involved in sort of coming of the new protein?
Pierre Laurin: Well, good question – and good morning, Sanjay, good afternoon rather. These – I am confused, I am calling from Tokyo and you’re guys in – we’re Montreal on eastern time zone. It’s a notion of a multifactor. First of all, markets driven, unquestionable and the protein that we decide to scale up have to have a need – unmet need and we have to have an edge. The edge I mean usually is a yielded message or first end market or yield and purely advantage and therefore really putting ourselves at the top of the offering in terms of strategic positioning. One has to take into account as well is the tactically of those proteins in a sequential production. The more you can manufacture conveniently several proteins every time you process – plasma, the more you reach optimal profitability. So that’s also a factor. The good news here is that everything that relates to scaling up, optimizing process are all fixed cost that we already have built to be able to supply the pipeline. The additional task really comes when we bring those products to the clinics where now we have now to outsource additional work with the clinicians and the CRO. But buy and large, the manufacturing of those protein and the scale up exercise that we’re going to undertake this year has undertaken by the same group that has already done that work for fibrinogen and plasminogen and IVIG and now sequentially are involved in scaling up others. And they will have – we’ll have that kind of evolving sequential patterns here, where once those three [Indiscernible] are scaled-up, then there is others that will be following through keep feeding the pipeline [indiscernible].
Sanjay Jha: And can I just could ask questions for Bruce. Bruce, is the GENERIUM deal which was done in December last year. Are there any numbers from the – in the 2014 numbers. I just want to understand…
Bruce Pritchard: Yes. There is the upfront payment in there.
Sanjay Jha: So that’s a $6 million and there is some of the spend is it 11 to come in 2015. Is that –
Bruce Pritchard: So it’s spread over a period I’ll believe all that come in 2015. But there are milestones to come once we achieve other things along the way. Yes.
Sanjay Jha: Alright. And one final question, I think it was that there is a – I know you done those in China. You’ve done those in Russia, Taiwan. Are you to stay that you have interest on Western Europe or U.S.?
Pierre Laurin: Absolutely, I mean actually its funny events in that most of that we are contemplating doing this year is now Europe and North America. But remember that we have partnered with extremely solid regional partners in the emerging market, key emerging market. GENERIUM from a standard stream well positioned in the Russian TIS and we have this partnership with the CNBG in China and it may take in Taiwan. And now most of what we have on the place for deals really is a focus on Europe and U.S.
Sanjay Jha: Alright, okay. All right thank you, gentlemen.
Pierre Laurin: Thank you.
Operator: Your next question comes from the line of Alan Ridgeway from Scotia Bank. Your line is open.
Alan Ridgeway: Hi, guys thanks for taking my follow-up. Pierre, we have been talking about in a while, can you maybe just give us an update on the CNBG and where things stand in China as far as their development, what they are doing with the program and when they may start coming on line as far as ordering more resin, et cetera?
Pierre Laurin: Yes, it’s interesting what happen with China is – when you know the expansion [ph] of balance sheet you can have more up balance sheet than this. A lot of the works that we are able to do and there is a lot of bystander looking at our performance and how can it be that we are developing so many products at the same time. Well, as we have many more people working then even what we show in our own expense card. So a lot of the work has done jointly with our colleague in China. The challenge that we have in China or that CNBG has in China is that unlike the U.S. or unlike Europe, where each product have its own IND process and they can all be done sequentially. The Chinese regulatory authorities will look at PPPS and will require CNBG to file multiple INDs at the same time. So this is what CNBG is busy doing right now, ramping up several products, bringing them all through a point of readiness instead of being like us sequentially. And so, it’s going to be an interesting breaking out of silence mode in one shot. We – I mean – so I mean the visibility of what CNBG is going to do, I’m not quite clear whether this is towards the second half of this year [indiscernible] over next year, but definitely still very engage and supportive – and supporting actually indirectly our own program.
Alan Ridgeway: So – just so, I’m clear Pierre. So they will be filing all of the INDs at the same time and that filing will likely occur either late this year or in 2016?
Pierre Laurin: Yes, and you’re looking at four products or more simultaneously.
Alan Ridgeway: Great. At which point – at which point then they start their own clinical programs? So we’re probably pushing out any commercial sales out of China for at least a few more years, right?
Pierre Laurin: Well, I mean, their clinical requirement and the regulatory requirement is different, clearly different. The type of studies they have to perform is different. And remember they are in a very unique position where they’re manufacturing both currently [indiscernible] derived protein and PPPS derived protein. So they are in a very unique position where they can compare bioequivalence in-house. What are they going to get away with the agency is something that really belongs to the Chinese authorities and the Chinese partner, but one big difference in terms of their approach, which is a regulatory impose approach is multiple IND simultaneously as opposed to sequential as we have it.
Alan Ridgeway: Okay, that’s helpful. And then can you – and you may have said this in your prepared remarks, I just might have missed it, but an update on where the plasminogen trial currently is as far as an enrollment and maybe just where IVIG is has it started enrolling?
Pierre Laurin: So, IVIG, we’re expecting clearance from the FDA. We – and that will be announced. We file the IND. We had some questions to answers. That was in my previous comment, Alan. This is a pivotal study straight to Phase 4, so we expect a green light very soon. The good news on the IVIG is that all the sites had been lined up already. So as soon as we get the approval enrollment start systematically. So it’s a very well synchronized, the plasminogen we hope to have our PK this year and therefore PK and safety confirmed there will be the major milestone to be announced this year for plasminogen. So recruitment so far we’ve identified already 18 patients and the infusion that we have given to patients to date has produced the desired PK that that’s more importantly supporting good safety profile so far so good on plasminogen.
Alan Ridgeway: And the PK data you’ll get this year is sufficient for registration?
Pierre Laurin: Well, it’s typical thing. We regenerate the data, sit down with the FDA, the cohorts that we’ll enroll and generate the data is going to enable us to present that’s for the FDA. So it’s a race against the clock again. And – but so far more importantly it’s how the patient behave when you give those products and so far they’re infusion that’s – is totally without any adverse event. So we’re very, very positive with program.
Alan Ridgeway: Okay. And then one just last one I promise. And just on the R&D spend this year, what’s of that potential upwards of maybe $50 million that I think Bruce mentioned what’s the cut between 4050 and then plasminogen are – sorry the plasma products and I’ll leave with that. Thanks a lot for all the answers guys.
Pierre Laurin: Okay. Well, I mean, yes, PBI-4050 is stepped up a bit as compared to last year by $3 million or $4 million. And again is really variable cost subject to the rate of enrollment. So – and overall what you see increasing in 2015 is the ongoing clinical trial of plasminogen IVIG and the launch of the clinical transfer of Alpha-1 Antitrypsin, but Bruce you commented on an overall quantum, but again a lot of that is include some variable subject to performance of program. So do you want to expand on that Bruce?
Bruce Pritchard: So I mean I think you pretty well captured it – the split is more – clearly more heavily buy us towards the plasma proteins, there is much more happening in the clinic there. So yeah I think I mean you said okay.
Pierre Laurin: Okay.
Operator: Your next question comes from [indiscernible]. Your line is open.
Unidentified Analyst: Alright. Good afternoon, sir.
Pierre Laurin: Good afternoon.
Unidentified Analyst: In your last conference call you mentioned – yes, am I on know?
Pierre Laurin: I didn’t understand your question, I’m sorry.
Unidentified Analyst: Okay, in the last conference call you mentioned you had two deals in the proceeding and one of them came about, what about the other one, is that still on? Or you looking at –
Pierre Laurin: Yes, we are working, I mean, that we are extremely busy with negotiating agreements with through this licensees and partners and there is more than one on the go, and the one that’s we were hoping to announce it for Christmas is a different [indiscernible] to be going to be announced before the AGM. So it’s a nothing loss there, but obviously we are talking much more and while we were talking multiple deals this year around the PPPS program. We are exciting as we move forward and validate and advance the program more people are showing up inflate and want to participate. So it’s a very, very encouraging.
Unidentified Analyst: Okay, thanks very much. And also I have a small one on a fibrinogen. What are the magnitude, are we looking at for commercial grade sales in this year?
Pierre Laurin: Well, I mean, fibrinogen is a very complicated product to analyze and overall sales of fibrinogen is measured in north of a billion dollar and in some cases its uses therapeutic itself, that represents maybe as a billion dollar and then it uses a excipient and as you know companies and this will be published all the sales and excipients. But we are looking at taking a market share of those two indications. So you are looking at sales exceeding a $100 million for our fibrinogen for us over the coming years on an annual basis. So and again, in a mix of both supplying other form of companies and selling the actual product as a therapeutic.
Unidentified Analyst: Okay, I understand like the Rx part is a big amount, but what about the commercial grade that could help us with the free cash flow this year?
Pierre Laurin: Yes, the actual – the sales of pharmaceutical grade, it could exceed the sale of the therapeutics and as you mentioned yourself factor with contribution towards the second half of this year as I mentioned and growing 2016 and 2017 and we are disclosed the clinical program when we’re ready on the fibrinogen therapeutic and that has a very good chance to contribute in 2017 at the same time as IVIG and other proteins. So all of those you said it very nicely the contribution of sales as excipients could very well proceed a significantly the therapeutic one and its starting this year.
Unidentified Analyst: Okay. Thanks very much.
Pierre Laurin: Thank you.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Pierre Laurin: Well, I thank you very much for your participation today. This is exciting, I apologize that the line is been cracking, we John and I are in Tokyo and Bruce in UK. So I mean I could hear that the line [indiscernible] but again thank you for participating in this call and look forward to more exciting news and development into this year. Thank you very much.
Operator: This concludes today’s conference call. You may now disconnect.